Operator: Welcome and thank you all for standing by. At this time all participants are in a listen-only mode until the question-and-answer session. To ask a question you press star, one and record your name when prompted. This call is recorded. If you have any objections, you may disconnect at this point. Now I’ll turn this meeting over to your host, Ms. Deborah Pawlowski, Investor Relations for Columbus McKinnon. You may begin.
Deborah Pawlowski: Thank you, Rems, and good morning, everyone. Welcome to Columbus McKinnon’s Third Quarter Fiscal Year 2015 Financial Results Conference Call. We certainly appreciate your time today and your interest in Columbus McKinnon. On the call I have with me Tim Tevens, our President and CEO; and Greg Rustowicz, our Chief Financial Officer. Tim and Greg are going to review the results for the quarter and year-to-date, and give an update on the Company’s outlook and strategic progress. You should have a copy of the financial results that were released earlier this morning before the market, and if not, you can access those at the Company’s website, www.cmworks.com. At the Investor Relations section of the website you can also find the slides that are going to accompany the discussion that Tim and Greg will be having today. Let me start by having you turn to Slide 2 where you’ll find our Safe Harbor statement. As you are aware, we may make some forward-looking statements during the formal discussions as well as during the question-and-answer session. These statements apply to future events that are subject to risks and uncertainties, as well as other factors that could cause actual results to differ materially from what is stated here today. These risks and uncertainties and other factors are provided in the earnings release, as well as with other documents filed with the Securities and Exchange Commission. The documents can be found on our website or at sec.gov. So with that you can turn to Slide 3 and I’ll turn the call over to Tim. Tim?
Tim Tevens: Thanks, Deb. And on Page 3, we just want to remind you of our long-term objectives, which include growing to be a $1 billion business with about a third of our revenue in developing markets and two-thirds in developed markets, along with about $200 million to $300 million worth of acquisitions – revenue acquisitions, 12% to 14% operating margin and strong working capital levels, and obviously a strong balance sheet to deal with permanent net growth. We continue to focus resources and energy on acquiring companies that strategically that have market presence, and we’ll talk about one here in a moment, and product breadth to help us grow around the world and achieve these results. Page 4 provides you with the highlights of our third quarter of fiscal 2015. We had solid growth in the United States. Unfortunately that was overshadowed by foreign currency translation. The U.S. sales increased 5.4% or $4.3 million, and gross margins continue to expand, up 120 basis points to 30.8%. Operating income increased $1.5 million, or 13.6%, and the operating margin increased 130 basis points to 9% in this quarter. We had a fabulous cash quarter, generating over $17 million in cash from operations. We also acquired a very nice business, STB, which we’ll review in a moment here. It does extend our lifting capacity of hooks that lift up to 2,000 tons. We also announced this past Friday and subsequently on Monday that we have called our notes and established a new credit facility, saving our Company $7.6 million in cash interest or about $0.27 in earnings per share for fiscal 2016. Our focus remains on profitable growth, as depicted on Page 5. As you all will know, we help people lift, position and secure material that require safe and productive solutions. This is a very broad based need that covers most components of the global economy. As we work closely in some key vertical markets and develop a closer customer intimacy model, we are better able to provide products and solutions that meet the specific lifting needs of our customers. We continue to focus on new product development, which now accounts for 24% of our revenues coming from products developed in the last three years. Our backlog is up on some recent bookings from our European Rail & Road business, and Greg will talk about that in a moment. You know that we expanded our Chinese manufacturing footprint by 40% last year to capitalize on the growing business in Asia-Pacific. We have been successful in localizing our hoist products into those new Chinese facilities. We continue to drive operational excellence activities with our lean business system, and are recognizing enhanced productivity, increased customer service and lower defect rates, all for the betterment of our customers and our company. Our in-stock guarantee program continues to expand, now up to 280 stock-keeping units, as we guarantee delivery of these products to the market in three days. As shown on Slide 6, at the end of December we did acquire Stahlhammer Bommern, STB, for $25.8 million in cash, and assumed a $6.2 million of debt. There is a potential earn out of an additional $3.7 million if certain profit targets are earned by the end of calendar 2015. This 100-plus-year-old steel forging business primarily designs, manufactures and sells large capacity hooks to a variety of industries that have heavy load requirements. Construction, manufacturing, mining, marine, oil and gas are some that use those products today. They primarily sell into Europe and Asia, and we expect that our global Columbus McKinnon sales force will also sell these products into other areas of the globe, including North America, Latin America and other parts of the EMEA, where we already sell smaller capacity hooks. This is an example of product line expansion that our global sales force can now sell around the world into markets previously untouched by the prior owner. Pictures do say a thousand words. So if you just peruse the two photos on the right side of the slide, you can see some of the product offering, and certainly imagine the forging capabilities of this Company. Calendar year 2014 revenues were $17.8 million for STB, and they had about a 16% operating margin. Third quarter revenues were negatively impacted by currency translation as the U.S. dollar strengthened against global currencies like the euro, the Canadian dollar, the Brazilian real and the Mexican pesos. FX represented a $4.3 million or 3%, or all of the difference of our revenue, compared to Q3 of last year. Volume was down primarily in Europe, but also in our tire shredding business and certain highly engineered hoists in North America. We continue to see volume pressure on capital intensive projects globally. We also had one fewer shipping day as compared to last year. Our positive impacts include pricing and an acquisition that we closed on in the last year in Q4. The average sales per day were flat in the quarter with the FX and the volume impact. Now let me turn it over to Greg who will provide us more financial detail.
Greg Rustowicz: Thank you, Tim, and good morning, everyone. On Slide 8, our third quarter gross profit margin increased 120 basis points to 30.8% from 29.6% in the prior year. Gross profit increased $400,000 or 1%. The acquisition we completed last year in the fourth quarter contributed $1.5 million to gross profit, and productivity gains added an additional $1.1 million, led by strong productivity in our rigging facilities. Price, net of material cost inflation, added $1.1 million to gross profit. Higher product liability defense cost negatively impacted gross profit by $700,000. The lower sales volume recorded in the quarter reduced gross profit by $1.4 million. In addition, foreign currency translation negatively impacted gross profit by $1.2 million as a result of a strengthening U.S. dollar. This quarter represented the 17th consecutive quarter of year-over-year gross margin improvement. As shown on Slide 9, selling expense was higher than the prior year, and represented 12.4% of sales this quarter compared to 11.2% in the prior year. The acquisition added $300,000 to selling expense, and the remaining increase was due to investments made to drive future sales growth, partially offset by favorable currency translation. G&A expense decreased $2.4 million from the prior year, and represented 9.1% of sales this quarter compared to 10.5% in the prior year. The prior year period included approximately $1.4 million in atypical M&A professional services, which were nonrecurring. Cost controls in the base business and favorable foreign currency translation more than offset the impact of the acquisition, which added $200,000 to G&A. We expect our SG&A run rate to be approximately $30 million to $32 million in the fourth quarter, excluding the impact of the STB acquisition. Turning to Slide 10, operating income increased by 13.6% to $12.6 million or 9% of sales compared to 7.7% of sales in the previous year. The increase in operating income reflects the continued gross margin expansion as a result of accretive acquisitions and productivity, as well as the cost containment actions to control SG&A expense in the base business, while still funding investments to drive future top line growth. These initiatives include the impact of acquisitions, new product development, vertical and emerging markets and our global services initiative. As you can see on Slide 11, pre-tax income was up 35.6% from a year ago to $10.2 million. Earnings per diluted share for the third quarter of fiscal 2015 were $0.39 per share compared to $0.33 per share in the previous year, an increase of $0.06 per share or 18%. The tax rate this quarter was 23.1%, reflecting the expected refinancing costs related to the previously announced call of the outstanding senior subordinated notes. In a more normalized 30% tax rate, earnings per diluted share were up $0.09 per share or 35%, to $0.35 per share. Our effective tax rate for the fiscal 2015 has been lowered, and is now expected to fall between 23% and 28%. On Slide 12 you can see our return on invested capital which is the healthy 12.5% on a trailing 12-month basis and exceeds our weighted average cost of capital. We continue to invest in good capital projects that exceed our cost of capital, and look for synergistic and value-producing acquisition opportunities that will also exceed their risk adjusted cost of capital. Turning to Slide 13, excluding the STB acquisition, our working capital as a percent of sales was 19.6% compared to 22.1% at September 30 and 21.7% at March 31, 2014. Working capital as a percent of sales improved as a result of lower DSOs. Inventory turns, excluding the STB acquisition, were unchanged at 3.9 times compared to one year ago, and were slightly lower compared to last quarter. We do expect further working capital improvement in the last quarter of the fiscal year as the fourth quarter is typically our strongest quarter from a sales perspective. We do expect that the STB acquisition will negatively impact our inventory turns for a period of time. On Slide 14 you can see that we generated $17.1 million of net cash provided by operating activities in the three months ended December 31, 2014, compared to $16.2 million in the three months ended December 31, 2013. Capital expenditures year-to-date were $11.3 million versus $13.5 million in the previous year. Year-to-date we have generated $18.5 million of operating free cash flow compared to $4.5 million one year ago. We have also paid $2.4 million in dividends year-to-date, and we will pay our regularly quarterly dividend of $0.04 on or about February 17 to shareholders of record as of the close of business on February 6. We believe we have ample liquidity and opportunities to invest in strategic acquisitions and high-return projects. We expect full-year capital expenditures to be approximately $15 million to $20 million for fiscal 2015, a majority of which is dedicated to productivity and growth projects. Turning to Slide 15 you can see that as of December 31, 2014, total gross debt was $157.5 million and net debt was $55 million. Net debt to net total capitalization was 15.3%, which was higher than last quarter’s 10.8% because of the cash used to acquire STB, which closed at year end. Moving to Slide 16, we announced this week that we’ve entered into a new $150 million senior secured revolving credit facility, and a new $125 million delayed draw senior secured term loan facility, the proceeds of which will be used for the redemption of our $150 million of 7.875% senior subordinated notes due in 2019. This new capital structure will provide us with significantly more flexibility to utilize excess cash to pay down debt or alternatively to borrow funds as necessary for strategic acquisitions. It also adds an additional $25 million of liquidity at a low cost. We estimate that this refinancing will significantly reduce our cash interest expense by $7.6 million based on a weighted average interest rate of 2.8%, which reflects our policy of maintaining a 50% to 70% fixed interest ratio. This is expected to result in approximately $0.27 per share in fiscal 2016. We do expect to record a debt retirement charge of approximately $8.5 million in the fourth quarter of fiscal 2015, which includes the call premium on the notes. With that, I will turn it back over to Tim to cover the fiscal fourth quarter outlook.
Tim Tevens: Thanks, Greg. Let’s just spend a moment and look at our outlook on the -- for the rest of fiscal 2015 on Page 17. We do expect a reasonably strong fourth quarter, as we normally do, especially in the U.S. and Asia. Foreign exchange currency translation will continue to be a headwind for us as the euro and other emerging markets have declined and the U.S. dollar strengthens. We have seen orders improve since Q3 with some large orders being added at the end of December, especially in Europe, and our hoist business is doing reasonably well there as well. North America and Asia-Pacific should be strong, and that would be offset by a lower order rate, particularly in Latin America. Our backlog is up compared to Q2, and we will have strong volume growth if you consider the STB acquisition, as well as our normal release of some new products and our vertical market focus. Our acquisition pipeline is reasonably full, and we'll continue to use our balance sheet and the new bank facility to acquire strategically synergistic businesses that add value to our company. And with that, Rems, let me turn it back to you for opening it up to questions, please.
Operator: Thank you. (Operator Instructions) Our first question comes from Mr. Schon Williams. Sir, your line is open.
Schon Williams: Tim, I wonder if we could just dive in a little bit more on some of the volume trends that you’re seeing globally. Can you talk about what the volume will look like on the international side if we strip out the FX? What did [ph] just kind of the volume or the volume price component look like there. And then what specifically were we seeing? You talked about it I guess in North America, just perhaps some headwinds at the tire business and some of the engineering products. Can you just give a little bit more clarity there?
Tim Tevens: Sure. So the volume clearly is challenged in Europe. I think if you look at our -- starting with our engineered systems solutions business, CM-ET that you hear us refer to, year-over-year they are not seeing the same business activity in quotations as well as orders. Now they did book a couple of decent sized orders in December, but still year-over-year that would be down. Our hoist business is -- has held up reasonably well there, which is our normal standard hoist business that we sell across Europe. That was down a bit year-over-year as well, mostly pressured from some specific economies, and I’ll mention France in particular seemed to be off. But also I will say that our South African business is just now beginning to recover from the mines that were closed all the way through December and now they’re just starting to see some order activity coming from there as well. So it’s spotty in Europe and Germany’s holding up well. France is down. U.K. is holding up well. South Africa’s just now starting to recover. Of course, as you might imagine, the Eastern Bloc is spotty as well, especially in the Ukraine, which our business there has gone to essentially zero. And Russia is going to be challenged as some of these economic sanctions come into play and we are faced with our inability to export from Germany into Russia going forward. Relative to the rest of the world, Asia in the quarter, in particular China was down a bit. It was an odd quarter. I’ll say it was an odd quarter from a booking standpoint around the world. We seem to globally see November be very soft. October was strong. December -- November very soft, and then December rebounded to a more normal level for December's purposes. And that was true in Asia, as well in China. And now we’re seeing it recover through January, which is good. Brazil and Latin America from a volume standpoint is very challenged. I think that economy is, if not in a recession, very close to a recession. Our target shredder business, Schon, as you know, is lumpy. So we have some wonderful quarters and it depends on when the machines get shipped. And then therefore we book the revenue. And it’s just up and down, quarter-to-quarter. It happened to be last year they had a strong quarter. This year they had an okay quarter. Overall it’s down. And then our engineered hoist business is really tied to more capital intensive projects, which seem to be off. The normal standard hoist seem to be strong and doing well. You know the normal hoist that we would sell through an industrial distribution, the catalogue houses seem to be doing okay, but the highly specialized engineered ones seem to be off a little bit year-over-year. So that’s the globe. I think I covered -- was that your question, Schon?
Schon Williams: Yes. No, that’s helpful. And just in light of kind of a challenging macro environment, especially when I think about Europe, essentially three years of very kind of soft macro environment there, does this change your outlook in terms of needs for further restructuring within that business? I don’t know. Can you talk about – are there thoughts about product line simplification? Is there gains that could be had from taking out some fixed cost there? Just how is the macro environment altered or not altered? Your thoughts about the cost structure there?
Tim Tevens: I’m not sure the macro environment has altered our view around costs. It’s always been how do we become more productive in all of our businesses? And we used the Lean Business System to do that for us. There is opportunities to take out some fixed cost that we’re taking right now in this quarter, and that’s underway. And in particular in -- only in Europe right now. I think that if the businesses don’t recover to a normal level, there might be more activity along those lines but I suspect not. I just think that overall we continue to look at opportunities to remove cost, and we take those actions, and we’ll continue to take those actions regardless of the macro environment. I do think that the -- obviously the currency headwind is going to be stronger in the fourth quarter, given the continued devaluation of the euro, the real, the peso, the Canadian dollar. The U.S. dollar strength is certainly showing itself right now. But at the end of the day we still make money in Europe, we still make money in Latin America, we’re still profitable in Asia, which is all great things. And we’ll generate positive cash flow in all those regions of the world. So I think it still is prudent for us to continue to invest in those regions.
Operator: Thank you. Our next question comes from Mr. Jason Ursaner. Sir, your line is open.
Jason Ursaner: I just want to also try to focus on volume. U.S. was obviously still a modest positive. Europe and some of these developing markets you just talked about were clearly off a bit. But maybe just looking at Europe in particular, the industrial production figures there have actually been pretty decent recently. So I’m just wondering if maybe you could break down at all what you’re seeing between capital items versus MRO spending and then maybe tie this in with the order strength that you’ve seen compared to the trailing quarters.
Tim Tevens: Yes. I think the MRO spend seems to be reasonable. That’s more tied to industrial production, as you might imagine. That seems to be okay, although as I mentioned earlier we had this odd November. And in my almost 24 years at the company I’ve not seen anything pause like I saw November globally. And I don’t – I can’t tell you why it happened, but it just seemed odd to me. But having said that, the MRO business generally in places like Germany and the UK in particular where we have a nice position is strong and okay. But then you know, you get into the Engineered Products business where you know we’re trying to sell multiple million-dollar projects across Europe. And we’re not seeing activity there. So we’re not seeing the capital investment and the capital spend, even though capacity utilization has expanded up nicely in Europe at this point. I don’t think people are placing the large bets that they used to place and spending the capital that they used to spend in today’s environment, at least at this point in time. So that’s the trend that we’re seeing. That trend has not stopped. We talked about this on this call for the whole fiscal year I think. And so I don’t foresee that changing very much. The only thing that’s different, of course, is the translation now is hitting us.
Jason Ursaner: And in the U.S. the issue you’d had previously with the heavy OEM sector, some agriculture companies, that kind of stuff, any update there on capacity build out or what you’re seeing from them, and whether -- how big a drag it still is?
Tim Tevens: It still is a drag. It continues to head south. Those large heavy OEM customers continue to not procure what they have historically. So we’re continuing to see a bit of a drag. Obviously it’s been going on for more than a year. So lots of a drag now, but I would say that we’re not seeing those companies invest in capital projects like they have historically. So that’ll continue to be a problem. On the bright side, our rigging business is doing wonderful and we got some great growth going in those parts of the business. The normal hoist business that gets sold through the MRO channels is doing great in America. So that’s fine. And as you know that generates a fair amount of profits for us. And of course the acquisition we did last fourth quarter, this small rail business that we bought, is performing very well and meeting our expectations in that regard as well.
Jason Ursaner: Okay. And you generated nearly $0.85 of cash from operations during the quarter, which just seems very strong. Greg, you mentioned working capital should still be trending favorably. Just wondering as you look forward longer term, any thoughts on free cash flow in terms of EBITDA or net income conversion? And it just seems like it’s been very strong to date. Just wondering if that’s sustainable.
Greg Rustowicz: Yes, I do think it’s sustainable. As we look down the road, over time I think eventually long-term interest rates are going to move up. And that will significantly reduce our pension contributions, which right now we’re not required to make any but we are as we move towards our 100% finance -- funding levels. But the other big factor from a cash flow perspective will be the cash interest savings on the notes, which is going to be in the neighborhood of $7.6 million, which is -- we’ll begin to recognize that starting in fiscal 2016. So those are two pretty big positive factors from a cash flow perspective looking forward.
Jason Ursaner: And the $8.5 million charge, how much of that is cash? Is it entirely a cash charge or some of that’s noncash?
Greg Rustowicz: $8.5 million charge?
Tim Tevens: The cash piece will be the call, which is going to be about the $5.9 million. There will be some transaction costs, but those will get in essence capitalized on the balance sheet and amortized as interest expense on a go forward basis.
Operator: Thank you. The next question comes from Mr. Schon Williams. Sir, your line is open.
Schon Williams: All right, guys. Thanks for having me back on. I wondered if we could maybe dive into some of the other pieces. Tim, could you maybe give us an update on where you are with the ERP rollout? I believe you know most of Europe was supposed to go live here in the last quarter. Any -- I don’t know, any kind of initial benefits that you’re seeing from that? And any – maybe just talk about maybe the timeline of benefits on that program. Is that something where we can start to see either cost savings or just in terms of specking and pricing, those sorts of things, maybe some top line contribution in the next couple quarters? Just how should we think about those being -- are those immediate tailwinds? Do they take more like a couple quarters to play out? Just what are your thoughts around the rollout and kind of some of the benefits coming out of that program?
Tim Tevens: So let me just back up and remind you all that we have now about 30% of our revenue covered with the new SAP system that we've installed. Our CMIP, the hoist business in Europe, specifically Germany and the UK went live on November 1. And that was very successful I would say. There’s always a bit of training that you have to go through with your people and some hiccups along the way. But I would say they were modest and small, maybe compared to some horror stories that we’ve all heard about over the years. So now we’re at about 30%-ish of our revenue covered business activity. Looking forward we would expect that to continue to grow, and I think we’re planning on doing a couple more -- one more country in Europe and then heading to Latin America to cover that for this coming fiscal year, which would push us more toward the 40%-50% area. And of course the last, not that we’d like to do is the United States and Canada, and that will be the last implementation that we do. And that won’t be till fiscal 2017. And that will be 100% covered. We will begin to recognize benefits along the way as we roll the system out and implement it globally. Initially across Europe I would expect that over some period of time here we'll begin to recognize some of the working capital benefits, not necessarily commerce just yet until I get most -- if not most, all of the revenue on the same platform. So – but I would expect that things like inventory management should be improved. And I would expect that to begin in 2016, the upcoming fiscal year, and then continue to improve as we roll on more and more platforms. And then finally when we get to United States I think you’ll begin to see we’ll begin to recognize efficiencies around the commerce side and the ability for us to spec our product globally in a much more efficient way.
Schon Williams: And then I wanted to maybe talk a little bit about the STB acquisition. Is there -- I don’t know. Beyond some of the geographic or new product line synergies, are there technologies or engineering know-how, maybe best practices that could be shared between that business and your existing forging business and kind of vice versa? I’m just wondering was that -- I don’t know, was that a big piece of the pie in terms of your thought process on the acquisition there? Or is that -- that’s more of a tailwind and more of a background consideration?
Tim Tevens: Yes. I would think it’s the latter. It certainly would be a consideration, and we will share best practices, but that’s not the driver of this acquisition. Clearly the driver was taking and extending our forged hook offering to the marketplace and extending it into the multiple thousands of tons of lifting capacity. That was the first and foremost. Now our sales team around the world will have an ability to sell these products globally, that this company, STB was not doing. They just did not share that product line globally. They had a few select customers and that was it. So it’s our view that we have an opportunity to take a very nice company, a profitable company, and grow the top line and then therefore obviously the operating income as well.
Schon Williams: That’s helpful. And then one more if I may; as I look at Slide 5 and the focus on profitable growth, obviously a number initiatives here are to try to get the top line moving. I wonder if – I don’t know, as we look across some of the points outlined here, or maybe just as you think about kind of more the macro in general, what – Tim could you think about – could you name – like what are the one or two things I guess that you’re most excited about in terms of the top line opportunities that are out there, given that you certainly had some headwinds on the ForEx side. You’re certainly – you’re dealing with a bit of a soft macro environment. Just what are the things that get you excited kind of internally that you guys are doing to drive that top line, if you had to focus on one or two?
Tim Tevens: Can I give you three?
Schon Williams: Sure.
Tim Tevens: The first one that comes to my mind is the work that we’ve done in China to facilitate the ability to produce product there to sell into that large market that we have a very small portion of today. So as I think about the future and the positioning of that business and the products that they manufacture today, and now are selling there today, that’s a huge opportunity for us at the top line. And we’ll continue to focus on that and drive our resources toward that part of the world to grow our revenue in places like China and Indonesia and Malaysia and now India, as we just opened up a sales office in India as well. So I think about that as a huge opportunity. I’d also tell you that we’ve invested and continue to invest heavily in our new product development activities. So we added an executive, his name is Jeff Armfield. Jeff’s a fabulous guy and he’s overseeing this activity for us globally now, so that we’re much more aligned on a product development platform for the globe as opposed to individual regions, and I expect that to produce some top line benefit for us as I look to the future as well. And I also think, given our strength in America, you know we have a number one position in many of our products that we offer in the United States, and I feel very good about some of the activities we’re seeing in America. Maybe some of the oil and gas play is going to be diminished over time. We’re not seeing that just yet by the way, but that could be a headwind for us. But I would say the rest of the U.S. economy seems to be going pretty good. If we get some of these heavy OEM problems behind us, and we get some investment in manufacturing in America, I think that’s going to -- and construction, by the way, which I think infrastructure build out will be very helpful for our Company, I think that that’s going to be a wonderful top line adder to Columbus McKinnon as well.
Operator: Thank you. Our next question comes from [Mr. Gregory Mikulsa]. Sir, your line is open.
Unidentified Analyst: The operating income there is 16%. That’s above what you expect on a longer term basis for the entire company. Given that’s at existing, do you see that margin improving?
Tim Tevens: I’m sorry. We missed the front part of your question. I just want to make sure that I understand it fully. Could you repeat yourself?
Unidentified Analyst: The operating income of STB, Stahlhammer, that looked highly attractive, higher than your longer term goal. Do you see that you can extend and maintain that margin as you sell product throughout the world through your sales force?
Tim Tevens: Yes. I actually think that it could be improved actually, because they have the manufacturing and design capabilities today in their business to grow another shift or two. They actually operate only one shift. They use overtime obviously to accommodate some of that. So as we expect volume to come into that facility to produce products that our Columbus McKinnon sales team would sell globally, that added volume to the same fixed cost obviously levers that fixed cost and give us additional leverage on the operating income. So I’d like to see that 16% go higher. And that’s our expectation, as our team understands the product line and we convince the market that we’re the right people to sell that to them, that would be my expectation going forward is that, believe it or not, Greg, it goes north.
Unidentified Analyst: That’s great. And then finally with regard to China, you’re saying you’re just really beginning at a lower penetration. Do you expect to be manufacturing there and expand through manufacturing?
Tim Tevens: Yes. So we have a plant there. We’ve been manufacturing there since 1992. We have recently expanded our facility in March of 2014. So just this past March we’ve expanded about -- added 40% of our manufacturing capability footprint there. And then we’ve added our design hoists to their product portfolio to manufacture there. So instead of shipping the hoist from America into China like we’ve historically done, and we built our sales up over the last four or five years doing that, now we can manufacture the product on the ground, in the local currency, with local people, much better responsiveness to the marketplace, a lower cost structure to manufacture there. And it would be our intent to continue to add product into that manufacturing footprint to be able to sell into the Asian market going forward.
Operator: Thank you. (Operator Instructions) Our next question comes from Mr. Mike Shlisky. Sir, your line is open.
Mike Shlisky: I wanted to touch on FX again. Most of my questions have been answered. Has the current FX environment changed your targeted markets or your current timelines for M&A going forward? You changed countries in which you’re focused, the urgency in which you want getting it done, and have you got any sense of whether FX rates have changed the seller’s desire or ability to sell?
Tim Tevens: The first part of that is, I would answer strategically that the FX changes have not changed our strategic intent to grow globally. And nor have they -- has it adjusted in one part of the region. We really look for opportunities to have deeper market penetration to sell our product, or the target’s product, by the way, globally like we’re doing with STB. And that’s the intent to add value from that perspective. I recognize that FX is a headwind and it’s problematic today. But of course as you well know, if you wait another year or two that will change again and things will move. And it’s tough for us to try to expect what that would be. So strategically we’re really looking to add volume and have deeper market penetration, get better market shares globally. And I -- from a seller’s standpoint, I’ve not heard of any change in their perspective over this at all.
Greg Rustowicz: No. Most of the targets we look at are selling in country and the purchase price is in their local currency. So from their perspective it doesn’t have an impact on their thought process.
Mike Shlisky: Gotcha. And if you can just maybe remind us, I know your long-term goal [indiscernible] is $200 million range. With STB now behind you, sort of how far along are you in total from that -- on that long-term goal from when you first said it?
Tim Tevens: Yes. So that’s a good question. Let me just reflect on that a moment. So if you add about let’s say round numbers, $18 million plus the one we did last March, so Greg’s just telling me, it was about $35 million or so that we’ve added in the last couple of years, Mike. We have a ways to go, obviously.
Greg Rustowicz: And we did have a [indiscernible] in that timeframe as well.
Mike Shlisky: Okay. Gotcha. Okay. And then finally, if I can just go back to the oil and gas question; I know oil and gas is not your primary end market, but it is certainly an important one. Could you maybe just kind of share with us if you can, whether you have more exposure to the upstream markets or more to midstream, downstream markets in your business?
Tim Tevens: Yes, good question. So let me see if I can answer it here. We play in all sectors of the stream; up, mid and down. So when a chemical plant comes online for example, or a refinery comes online, they would buy our hoist and cranes to install in their facility, mostly in the maintenance areas of the facility, not in the processing areas. And then let me go into exploration, which is where we spend most of our time in drilling. And most of our activity is offshore. If you think about an oil platform, most of our explosion proof hoists for example are used in the offshore facility to move equipment or to move items on the platform itself. So it’s a mostly offshore play. And by the way, a tie-in to that would be MRO. So the operating rigs offshore obviously use our equipment, that need to be replaced over time, in a certain sequence, and we would expect that MRO business to continue as long as those rigs in the gulf and other places around the world continue to operate. So those would be the primary areas that we would operate. And just to give you a sense of magnitude, all the supporting industries around oil and gas, if you think about Texas, Louisiana and other parts of the globe that are oil centric, we sell to industrial distributors who support the local industries that support the oil and gas as well, and that would be our – mostly our MRO play that gets sold through our channel partners in those local regions. And, Mike, we lose track of all of the different sales that go on through distribution and which ones go into oil and gas, which ones go into normal industry, or general industry. So it’s hard for us to say. But if you think about oil and gas a percent of the general economy, general economic world, it’s probably 8% to 10%. And we’ve always estimated that the total impact of revenue on our Company is probably similar to what oil and gas is as a percent of the general economy as well. So we’re probably in that 8% to 10% area as well.
Mike Shlisky: All right. Got it. And of course, it sounds like a good portion of that is MRO as opposed to new construction.
Tim Tevens: Yes, it’s both, but the bulk of the business remains MRO.
Operator: Thank you. Our next question comes from Mr. Brian Ratten [ph]. Sir, your line is open.
Unidentified Analyst: Good morning, guys. Just a question. You guys talked a little bit about some of the weakness over the past year in some of the heavy OEM. Being a small cap value manager, we have a number of industrial companies in our portfolio. They’re doing very well. They are small cap companies, sense of urgency. They’re building property, plant and equipment. They’re expanding factories. They’re hiring people. Do you guys see any divergence between the heavy OEMs being somewhat retarded on property, plant, equipment and expansion than maybe smaller companies that may be actually aggressively trying to seek market share by building out their factory floor?
Tim Tevens: Ours may be a little more particular. Let me see if I can explain that well. Our normal hoist business and crane business get sold to general industry, and we are seeing a fair uplift in that part of the world, so -- especially in America. And that’s where the 4%, 5%, 6% kind of growth that we’re seeing today comes from. But in particular we have a couple of end user partners, strategic partners of ours that we support globally that we sell hoist and cranes into their platform, into that part of the world. And they’re excellent customers of ours. The problem is that they’re not spending today. So when you go from a $30 million, $40 million a year spend annually with these one or two major end user customers to near zero because they are just choosing not to invest in capital given the problems in their own business, that’s a major impact on our company. And that’s the piece of the heavy OEM that we’re not seeing come through today.
Unidentified Analyst: Okay. Is there any difference in the heavy OEM? Obviously some of these are international conglomerates. But is either the heavy OEM U.S. piece versus the heavy OEM Europe piece any worse? Or are they both about the same, near zero?
Tim Tevens: They’re both about the same.
Unidentified Analyst: Okay. Any comments, Tim, commodity feed stocks, raw material inflation trends, what you’re seeing?
Tim Tevens: We are seeing input costs be very modest, increases very modest. Steel is relatively flat. Motor prices actually may be coming down a touch. So generally speaking very low material cost inflation, if any at all. And you know our thinking is that’s going to continue on for the foreseeable future coming at us. I would expect and we are beginning to see -- you know when we make some of our steel-based products, we heat treat those products. And I would -- a lot of times we use electricity, but we also use natural gas. And of course, those input costs I would expect to continue to come down as we’ve had a rapid decline in the oil price that we should be seeing some of our manufacturing costs come down in those particular facilities.
Unidentified Analyst: And if you see rising volatility and/or a delta change in movement, do you guys go out and purchase forward? You stockpile it all or you pretty much match your raw materials to your end market orders?
Tim Tevens: Yes, the latter. We try to match, as best we can our order base. But the other – one thing we do is we have a commodity buying group that goes out and tries to negotiate on a regular basis, with our suppliers. So if we see rapid declines in prices, whether it’s copper or steel or whatever, we’ll try to renegotiate those prices downward and our team’s been pretty successful in that. As well as holding off any kind of price increases coming at us.
Unidentified Analyst: Okay. You talked a little bit about the feed stocks. What is your sense for wage and salary growth, obviously healthcare being a wild card going forward?
Tim Tevens: Yes, I’m glad you pulled healthcare out of that because I'm not – I don’t know where that's going. But I – normally we would be in the 2% to 3% wage increase kind of bubble. That would probably be true going forward.
Unidentified Analyst: Okay. Okay. If you look at, obviously you've got a fair amount of rigidity with the heavy duty equipment you guys sell. How much repair, maintenance, rebuilds of your business was something that’s already an in-field position, either hoists or cranes, or what do you guys have in a normal year as a percentage of sales?
Tim Tevens: By far and away, especially in markets where we’ve had this hundred-year plus relationship with the market and selling into the market, we have a huge installed base of hoist that have been operating out there for many, many years, and the bulk of our revenue is this MRO play. Okay? The only time we see an added pop is when there’s capital expansion, there’s an expansion of manufacturing facilities, and we certainly have seen that in China, as we’ve just supplied three nuclear power plants there as China’s building out 12 nuclear power plants. That’s great expansion for us. We'd love that. But most of our home markets are markets where we’ve had this long term selling into, it’s an MRO play today.
Unidentified Analyst: Okay. Okay. And then you talked a little bit about some of your vertical markets. You mentioned oil and gas. Could you just maybe for visibility kind of talk maybe globally, construction versus industrial, maybe versus chemical, aerospace, defense, anything that you would see ex your comments on oil and gas.
Tim Tevens: Yes. So I would – first of all, general industry is obviously a big user of our equipment and seems to be doing fine globally except for those parts of the world where they are either in a recession or going in a recession. Construction is an interesting play today. It’s been very depressed over the last several years, as long as I go back, maybe even longer than that. It’s been down quite a bit. We’re beginning to see some spurts upward of that. As infrastructure buildup comes onto play, I mentioned the nuclear power plants in China. The Chapinsy [ph] bridge, we got some equipment, some manual hoist equipment in that project. So as these projects pop up, that should be beneficial for us. And we’re looking forward to those as well. And I think that should be some upturn coming at us here in the future. Of course, we have a line of our equipment that goes in the entertainment market. That’s been very strong globally for us as we sell hoist and rigging tools into concerts and live theaters and things of that nature. The mining industry’s been very, very difficult for us over the last couple, three years as commodity prices have come down. And in our case, we service the mines, the deep shaft mines in South Africa and they were on strike for six months, just came off a strike in December. We’re hoping to see some activity that will drive some of our use in the mines, in particular deep shaft mines like gold, platinum, palladium, copper, silver would be good examples of users of our equipment. Those would be the ones that come to mind besides the oil and gas play that I already talked about.
Operator: Thank you. At this point, we have no other questions on queue. (Operator Instructions)
Tim Tevens: Thank you. So we’re -- are you done with the questions? Is that it, Rems?
Operator: Yes, sir. At this point, we still have no questions on queue. You may proceed.
Tim Tevens: Thank you. Well let me just summarize by saying that our business is performing well, as demonstrated with the strong profitability and the closure of an accretive acquisition that we did and this wonderful recapitalization that Greg just shared with us of our debt and the calling of our notes recently here. We expect our earnings per share to improve as a result of these activities. Obviously the headwind going forward for us will be the FX translation. We continue to see the euro and other currencies devalue further in this fourth quarter, our March quarter here. But as a reminder, our fourth quarter is usually the strongest from a revenue and profitability perspective. Add to that the STB acquisition and the recapitalization of the balance sheet, and we should see a very nice uptick in earnings, putting aside the $8.5 million onetime debt retirement charge that Greg spoke about. Investments in our Columbus McKinnon Lean Business System and new product development in emerging markets will continue to bear fruit and help grow our Company for the foreseeable future. We are well capitalized. We remain positioned to continue to execute our strategic plans to profitably grow our business, and we have about $102 million of cash and a new $150 million revolver and the $125 million senior secured loans that are outstanding now. We continue to have acquisition discussions with many businesses that can add strategic value to our company. I’d like to thank all of our people around the world for their dedication to excellence and making our Company a stronger, market-leading organization. And as always, we appreciate your time today. Thank you.
Operator: And that concludes today’s conference. Thank you all for participating. You may now disconnect.